Operator: Good day, ladies and gentlemen, and welcome to the Harris & Harris Group Second Quarter 2014 Financial Results Conference Call. At this time all participants are in a listen-only mode. (Operator Instructions) As a reminder, this conference call is being recorded. I would now like to turn the call over to your host for today Ms. Patty Egan, Chief Financial Officer. Please go ahead.
Patricia N. Egan: Thank you. I'll first read the Safe Harbor Statement. This presentation may contain statements that are forward-looking in nature relating to future events. Statements contained in this presentation that are forward-looking statements are intended to be made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to the inherent uncertainties in predicting future results and conditions. These statements reflect the company's current beliefs, and a number of important factors that could cause actual results to differ materially from those expressed herein. Please see the company's annual report on Form 10-K as well as subsequent filings filed with the Securities and Exchange Commission for a more detailed discussion of the risks and uncertainties associated with the company's business, including, but not limited to, the risks and uncertainties associated with venture capital investing and other significant factors that could affect the company's actual results. Except as otherwise required by federal securities laws, Harris & Harris Group, Inc. undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. I'll now turn the call over to our CEO, Doug Jamison.
Douglas W. Jamison: Thank you, Patty. Good morning everyone. Welcome to our shareholder call. As you know Harris & Harris Group builds transformative companies from disruptive science. Halfway through 2014 we remain focused on our strategy of realize, invest, partner, and return. We also remain focused on finding better ways to realize returns in shorter periods of time with greater ownership, with less capital at risk and in ways that benefit our shareholders. The slide you see in front of you is a brief version of our year-to-date score card. Daniel and I will highlight five points during the call and we will turn it over to Patty to discuss the financial statements for the quarter ending June 30, 2014 and then we will open it up to questions. In the first six months of this year we realized a gain on our Molecular Imprints investment upon its sale to Canon. We realized a loss on our Kovio investment on the disposition of its assets to a publicly traded Norwegian firm Thin Film Electronics. We also continued to monetize some of our positions in Solazyme and Champions. Talk a little bit about Molecular Imprints. On April 18, 2014 Canon completed the acquisition of Molecular Imprints semiconductor lithography equipment business. We received $6.48 million at the close of the transaction and we could receive an additional $625,000 from amounts held in escrow as well as up to $1.7 million more upon the achievement of certain milestones. I will note that we were the only investors to realize gain at the close of the transaction through a strategic opportunity we were able to take advantage of in the first half of 2011. With the closing of the transaction in new spin out company which retained the same name was also formed. This company will continue development and commercialization of the technology in consumer and biomedical applications. We also received shares in this new company. I like to think of that as having option value or two bites at the same apple. More information can be found in our quarterly report on Form 10-Q for the period ending June 30, 2014 on page 65. Three important financing events also happened during the second quarter of 2014. D-Wave, HzO, and PWA are three important investments for us due to the potential for outsized investment returns if these companies execute on their business plans. In the latter two cases this is directly tied to our increased ownership positions. During the second quarter all three companies were able to raise their next round of capital at increased valuations and with impressive partners. We believe this is a strong demonstration of their progress and future potential value. Daniel will discuss the positive progress of a fourth portfolio company Enumeral Biomedical in a few minutes as well. We have also continued to make investments during the first half of 2014. During the second quarter of 2014 we announced investment in a new company called UberSeq. We are the founding and only investor in the company. UberSeq is a translational genomics company that originated from Stanford University. The company is currently operating under stealth, which means we are not able to disclose details of its operating plan at this time. We look forward to sharing more details on the company with shareholders in future quarters as it emerges from its stealth state. We also made a new investment in July of this year as one of the founding investors in the expansion of Accelerator Corporation, an investment vehicle for emerging biotechnology companies into New York City. Those of you in New York may have read about it as it has received a lot of press. Accelerator is the result of collaboration between a consortium of top tier venture capital and corporate investors. Leading New York based research institutions, scientific thought leaders, and executive managers will identify, finance and manage the development of a select group of early stage biotechnology companies. Corporate participants in Accelerator's New York City operations include Johnson & Johnson Development Company, Pfizer, and Eli Lilly. The investment in Accelerator represents a new type of investment for Harris & Harris Group, as it is not before participating in a co-investment vehicle that will develop a portfolio of biotechnology assets. Our interest is that Accelerator has brought together several components that are strategic and complimentary to Harris & Harris Group's BIOLOGY+ investment thesis. These include one, a built in syndicate of financial investors for high risk biotechnology investments; two, three corporate partners that are also investors that will help define critical markets as well as help design validation experiments; three, a capital efficient investment model; four, a complimentary investment scope to H&H technology focus; and five, an NYC life science eco system anchor. Accelerator brings together financial and corporate investors that aim to efficiently invest in clinical and late pre-clinical stage assets that can be developed and exited on an accelerated time line. The involvement of three corporate partners, J&J, Eli Lilly, and Pfizer are critical and will help to ensure that the right experiments and data sets will be pursued. This strategy should enable early license opportunities and financing options for these companies.
Daniel B. Wolfe: I would now like to discuss the recent reverse merger in financing of Enumeral. In 2009 we provided the seed capital to found Enumeral Biomedical based on a platform technology developed by J. Christopher Love, a professor in the chemical engineering department at MIT. Chris's innovation was to leverage micro and nano fabrication techniques to create a simple device that enables its users to ask and answer questions in biology that were difficult or impossible to perform using existing methods. As we understood the technology more fully, we discovered that it held the potential to dramatically reduce the time and cost of discovering potential new therapeutic candidates as well as the potential to yield information that can help its users determine which candidates maybe better and safer for the treatment of disease in humans. The differentiated capability of this platform brought together an impressive sounding management team at the very early stages and brought interest from large pharmaceutical companies. Enumeral signed proof of concept programs with multiple large pharmaceutical companies and the company is now in negotiations on larger programs with these and other companies. Enumeral has also used this platform to discover antibody candidates for out licensing and these candidates have also generated interest from pharmaceutical companies. Of course it is possible that such negotiations will not lead to signed engagements. That said we are excited about this interest and the potential for the company in the future. Enumeral has been historically funded primarily by Harris & Harris Group and high net worth individuals. As Enumeral set out about raising a growth run of capital now that it believes it had validated its differentiated capabilities of the platform and interest from commercial partners we and Enumeral thought that the public markets would be receptive and excited to the company's story and its potential. This interest was confirmed through the close of a $21.55 million round of financing simultaneous with a reverse merger of Enumeral into a publicly traded shell company. The surviving entity is called Enumeral Biomedical Holdings Incorporated. And it is traded on the over the counter market under the symbol ENUM. Enumeral now has a strong balance sheet and we believe it is well positioned to be able to execute on its business and create value for its shareholders including Harris & Harris Group which owns approximately 15% of the outstanding shares of the publicly traded company. We believe the public markets are an attractive source of capital and support for our portfolio companies that have demonstrated differentiation in technology and initial market interest. We hope Enumeral is the first of many such financing events for our portfolio companies and we are spending a considerable amount of effort and time at Harris & Harris Group on working with our portfolio companies to be able to pursue such paths earlier in their respective financing and development cycles that may have historically occurred. Additionally one of the messages we heard loud and clear at our Meet the Portfolio Day in April of this year was that our shareholders are interested in gaining access to investments opportunities in our portfolio companies when available. Subject to compliance with federal and state securities laws we are working actively to make it such that ownership in Harris & Harris Group confers opportunities that may otherwise not be available to our shareholders such as making direct investments in our portfolio companies. We note that investments in private placements are typically limited to accredited investors but there may be other investment opportunities that would be open to any investor. Our shareholders are unique asset of Harris & Harris Group and we appreciate your interest and support along these lines. I will now pass the presentation to Patty Egan, our CFO to discuss the financial statements for the quarter ending June 30, 2014.
Patricia N. Egan: Thanks Daniel. At June 30, 2014 we had total assets of approximately $123 million on our balance sheet. Included in our total assets is our venture capital portfolio which was valued at approximately $96 million versus its cost basis of $115 million at June 30, 2014. Therefore our venture capital portfolio was then depreciated today at $19 million. We also held $24.7 million in cash and had no debt outstanding as of the end of June. Our primary and secondary liquidity was $27.9 million as of June 30th. These amounts do not include an additional $1.1 million in escrow funds related to the sale Xradia which was released in July of 2014 or a $549,000 we received in repayment of our venture debt investment in CleanWell, which we received in August 2014. Our net assets at June 30, 2014 were approximately $120.9 million and our net asset value per share was $3.87. This was an increase from our net asset value per share of $3.73 at March 31, 2014. Turning to our income statement, for the six months ended June 30, 2014 we had investment income of approximately $280,000 compared with approximately $375,000 in investment income in the comparable period for 2013. Our total expenses were approximately $4.3 million for the six months ended June 30, 2014 just flat to the comparable prior period. These total expense figures includes both cash and non-cash based operating expenses such as stock based compensation. Stock based compensation expense has no impact to our NAD. Our total cash based and accrued operating expenses for the six months ended June 30, 2014 were approximately $3.9 million as compared with $3.7 million during the comparable period in 2013. This yielded a net operating loss of $4 million for the six months ended June 30, 2014 which is a slight increase compared to our net operating loss of $3.9 million at six months ended June 30, 2013.
Douglas W. Jamison: Thank you, Patty. The last point I would like to make before opening it up to questions is that we have instituted some strategic personnel changes that begin to have an impact on expenses in the second half of 2014 and which will have a greater impact on expenses in 2015. During the second quarter of 2014 we had 12 full time employees of Harris & Harris Group. By January 1, 2015 we plan to have 10 full time employees. We expect this will have a positive impact on reducing and managing our expenses going forward. In closing we wanted to remind our shareholders and others of the blog posts on our website. These blog posts highlight some of our thoughts on areas of interest that are relevant to our business currently and into the future. We also have published a series of blogs under the concept of H&H on the cutting edge. These blog posts currently highlight eight of our portfolio companies including those discussed during today's call. These posts can be found on our website by clicking the blog menu option on our homepage. Thank you and we will now open the lines up for any questions.
Operator: Thank you. (Operator Instructions). And our first question comes from the line of Ed Woo of Ascendiant Capital. Your line is open. Please go ahead.
Edward Woo - Ascendiant Capital: Yeah, thank you. I had a question just in terms of what are you seeing out there in terms of private investments and early stage either health or technology companies, do you see any type of froth in that market and also what do you see out there in terms of having the potential exits, are you seeing anything, any big changes either again in terms of valuations on potential exits? Thank you.
Douglas W. Jamison: Yes, certainly I will try to answer both those questions. So, the first part of that question was regarding what we are seeing on investments and I would say for what we do which is early stage deep set science technology investments, they are certainly not a froth. There is a dearth of investors and venture investors playing in this space anymore. You know groups that we used to invest with you don’t even see in this space anymore. That has created some issues regarding financing existing companies that they are in but for new companies it is a fantastic time. The valuations remain low. I mean look at the last deals we are doing, right. I mean, Daniel talked about Enumeral today. It is still a young company. That came out of one of the young researcher from a premier lab at MIT. UberSeq came out of Stanford University. ProMuc that we did at the very end of last year came out of a big researcher at MIT. The NYC Accelerator is calling together the top research universities in New York City because they don’t have -- there's not other groups in there like there were historically in early 2000s walking the hall. So it is a great time to be investing. I think the valuations are good, the access to top research labs and top companies is better. I think the discipline around building companies that’s been instilled over the last 10 years is better as well. So no froth there at all. Now just to be clear, you often read especially in the mainline presses, you talk about venture capital and froth in the market, most of that really relates to what we will probably call technology and to social medium places like that. Clearly there is a large number of small angel type funds etc. that have gotten funded, that are chasing those types of deals. There are a number of very, very large mega funds that are doing the same thing so you see very high valuations in late stage companies raising a tremendous amount of private capital similar to what Uber did out there. But if you actually look at the details closely, the $100 million to $500 million funds size which has always been the bread and butter of the venture capital community and clearly the venture capital community doing deep science investments, that has collapsed over the last three years and it hasn’t recovered. So I think that when you hear what's happening in the market you have to differentiate that. The only other thing I would say is referring to maybe the healthcare market. I do think that the recent IPO Window for biotech has also brought more investors back into private early stage biotech, most of that is really in the therapeutic deal space. Harris & Harris Group as we have talked about historically, other than the NYC Accelerator which we think is a very interesting way to do that, we tend not to spend as much time in that space as we do more on the technology side of things like in Enumeral, like on Ensemble. So again I think from an investment standpoint it is a very good market for what we are doing. On the exit side, the second part of your question, clearly the biotech market has been one of the better markets that it's been in recent history. Our companies are getting out, a lot of that is again based around these therapeutic and these great growth potentials of the therapeutic companies but it has moved into other areas even in the diagnostic area as well. I would say again for the type of investments we do, it is an intelligent market and that people are looking at the rest of the companies, they are looking at comparables and they are investing along those lines clearly with some discounts to the fact that it is a new IPO and not an existing public company. I think that the metrics you look at across there still look pretty good in most of those. I think that on the biotech side and the therapeutic side you have seen some larger trends as more and more people have tried to get in on the biotech IPO side of things. Again, if you are looking outside of where we invest into some of the social media and the tech areas and things like that, I think that there is some belief that those valuations have really increased very rapidly. And clearly there has been a lot more excitement from groups trying to get into those deals. So I think that would be my sort of assessment on what we are seeing. I think it is still very good IPO market to get companies out public. We are certainly pursuing that. I don’t think again for the type of companies we do it's frothy. I think they are getting out there well. When I look at Enumeral I think what Enumeral did in its reverse merger and where it went out with is the price that allows shareholders potentially to reap multiples of returns if Enumeral is successful and continues to build its company. All of the values certainly haven’t been captured in the private markets and I think it will grow in the public markets again if it is successful executing on its business plan. And I would also assume that you are going to see us -- a lot of our company's look to be able to do that going forward as well.
Edward Woo - Ascendiant Capital: Great, thank you and good luck.
Operator: Thank you. Our next question comes from the line of Brandon Roberts of Morgan Stanley. Your line is open. Please go ahead.
Brandon Roberts - Morgan Stanley: Hey guys, how are you doing?
Douglas W. Jamison: Good, well, thank you.
Brandon Roberts - Morgan Stanley: Good, good. Just had a question on Metablon. I know that they recently filed for a registration few months back, I am just wondering if you guys had any details on timing or value?
Douglas W. Jamison: I knew you were going to ask that cause you gave us a heads up and I am good at these stuck in all honesty, right so, first of all there is nothing public that they have filed for an IPO. There was an article in the Wall Street Journal but there is nothing public at this point in time on that and so I basically don’t have much to say. Again we tried to be transparent, open, and I will say -- I will say a couple of things on that. As you all know, [inaudible] allows companies to file confidential with the SEC and go through question periods and things like that. So even though things aren’t public things are now being done confidentially. We actually think that's a good thing for especially some of the smaller companies going public to be able to do that. So, even though things aren’t public, things can be happening confidentially at that point in time and again the question becomes who gets headwinds of things and what do they want. Metablon, just speaking to Metablon directly from our portfolio, it is definitely one of the companies we are excited by. Their business continues to do very well. Its growth was over 50% in the first half of this year. We expect it to be probably around 40% growth rate for the year. I think some of you have seen some of the announcements that have been made about it but clearly most of the -- many of the leaders in the genomics space have realized what we are hoping all along that the Metabolomics running beside genomics is very, very powerful and they are starting to do it. So the world renowned leaders, people like Leroy Hood now in addition to doing sequencing work are running Metabolomics work with Metablon right beside them. Craig Venter, in his new venture Human Longevity is not just doing genetic work doing Metabolomics work with Metablon. Clearly Metablon has launched a successful diagnostic in Quantose IR mid last year. So the business continues to do well. They are well financed at this point in time as well I think that we certainly would like to see them get public. But to be honest with you, I think that and you probably won't hear or see anything until later in the fourth quarter [inaudible].
Brandon Roberts - Morgan Stanley: Appreciate the feedback.
Operator: Thank you. Our next question comes from the line of Al Shams of American Capital Partners. Your line is open. Please go ahead.
Al Shams - American Capital Partners: Yes, good morning. Doug, just a few questions. Number one, on this Enumeral, what was our cost per share and what was the cost per share of that recent financing round that was done?
Douglas W. Jamison: Danny you want to address that.
Daniel B. Wolfe: Sure, hi Al. Our cost basis per share is approximately $0.72. The round that was done was around one unit for $1 and the unit was comprised of one share of common stock and a warrant to purchase the share of common stock at $2 a share.
Al Shams - American Capital Partners: Okay. Doug it seems like to me one of the issues we have got is we just don’t have enough assets in here to justify the overhead expense structure that we have got. I think you had considered in the past trying to bring in some institutional money, is there a way of addressing that issue and is that an issue?
Douglas W. Jamison: Yes, so here is how I think about it. So, we certainly for our asset size, right, I mean I think that our expenses are high, right. And I don’t actually look at that as we have the wrong expense ratio. I mean sometimes it is just expensive to run a company with very small assets. I mean, venture capital scales well so we are probably in very good shape if we increase our assets that will be in the right place. I also don’t think the success of Harris & Harris Group is based on, you know, if you look at what one could do in expenses and we -- shareholder have expressed this for a while, we looked every which way. I mean, we could basically gut the firm and we are still be -- by being public going to have multiple million expenses. It is not going to change it. So, I agree, I mean what one needs to do is one needs to increase the assets but while also being very strategic and very frugal with what we have now realizing we are operating where we are. So, we -- I put it on that first slide, we have been working, we continue to work trying to partner with some corporations. We think it is way to increase assets under management. For the most part it actually does because we get -- we would get fees and carry for managing those assets. But in fact it would be someone else's asset. So it would be -- it would help protect our investment as well. We have not been successful with that to date. We have been working with a lot of companies, it has been successful in a lot of different ways and that we are investing with these companies, we have close relationships, something to develop in the future but at this point in time we don’t have a party that has stepped up willing to pay us to manage those assets here. So, again what we continue to do is we believe that with some of the companies in our portfolio over the coming time we are going to see returns that increase our assets. So we actually believe that we are still on a very good path organically to be able to increase our assets and balance that really well. And again we always look at things. So you saw it in the second quarter, wonderful opportunities. There is a wonderful opportunity for Sandra Proskauer. It is great intellectually for her. From our perspective she is a very, very strong intelligent individual. We probably was like being in first grade and she was growing up and needed to be in 12th grade. It was a very good move for both of us. It will be good for some of our expenses. We still get access to her. We also made some other changes that I think will be able to reduce our expenses into the multiple, hundreds of thousands up to about $500,000 plus in 2015 as well. So we are trying to balance those two but our goal is to increase assets both organically and we continue to look at other ways to do that to raising funds or bringing in other institutions.
Al Shams - American Capital Partners: Okay, one last final question Doug, it looks like you are going to embrace this model that you have got with Enumeral where we take some assets and put it into an existing shell company and get it refinanced etc, etc. and in theory that sounds great but the concern that I have got is we have got a market where there is most of the money, virtually all the money is going into the big multi-billion dollar company and not much money is flowing into the special unique, special situation ideas and we end up with, yes, an attractive, fantastic situation that just languishes and languishes from the lack of interest. Could you talk to that point?
Douglas W. Jamison: So, I don’t, I mean, this is a much longer conversation. I think you will see us write some thought pieces over the coming six months about what we see because it is very complicated. And then we spent a lot of time looking at public market and I actually I know there is other people on the line from all different aspects of what I call the public market from the micro cap, nano cap to the much larger space and everybody has a perspective. I think I would say with my comments at this point is this, first of all institutionally it is very difficult. Right, the trends are the large money, the big ideas institutionally and it languishes. However, if you look at what Enumeral did, $21.5 million probably in one of the shortest financing times we have ever seen, all retail at this point in time but a loss at this scale, they were actually investors that were part of this, that we sit on boards with, with private companies because they come in for their knowledge. They are high net worth individuals. So there is a retail sector that is clamoring to get into these deals. Enumeral was way over subscribed from what we thought about when the concept of raising capital came to play. So we think that's at two, we spent a lot of time with Fidelity recently. I don’t know if you have read the papers but Fidelity has the same thing, over a trillion dollars in assets, what I call retail assets that they are frustrated because they are not getting a play at the IPO market. Two reason; one, more and more value is being made privately. So when an IPO comes it is priced high and the value has already accredited and it is accredited to the private investors. And two, because the bulge bracket banks are basically selling the deals to institutional hedge funds because of the trading, I mean it is all of the money. And so, you have groups like Fidelity, I think groups like eTrade that we speak to that are speaking to us because they want access to these deals and Fidelity is already doing it with smaller deals. So, I think there is going to be some fundamental shift as we go forward that actually supports the direction we are moving. Now, not to -- to be honest, I think the most difficult thing for a company like Enumeral and some of these other companies to do is to make this shift as they execute from going to small micro cap retail health stocks to bringing in some of the institutions that they grow. They can really drive liquidity and drive those companies as they mature. And I think that is a very credible challenge that we will certainly need to figure out or any microcap company needs to figure out over time. And I guess the last point I would make is, that although I agree with you, we have a small public company Champions right at this point in time. Right, it trades in the public markets. It went up with the market, it went up because it slowly is performing and executing on its milestones and unlike all of our private companies we have been able to sell some shares at a return to us and we are not trying to sell. You know basically getting some of our cost basis out of it as we see fit, because we recycle money. We are believers in Champions, we have no interest in exiting the position in the near term. But we love the idea that we can get some capital out of that to fund some of these new deals like UberSeq and things like that. The same goes for Solazyme. Stock moves up and down, clearly they are not quite yet achieving what we think the promise for them is but we have access to that capital and I would just contrast that with Bridgelux who is executing on its business over the last couple of years. It has got -- its revenue has expanded dramatically and we are still stuck in it. I would contrast that with Nanosys where we have been in it for a long time. They executed. Imagine if they were public when their revenue really started to ramp with the Amazon Kindle. Right, that would have been a really nice opportunity potentially for Harris & Harris Group, to recycle some capital and take some realized gains on the book. Instead we hold it at an unrealized loss at this point in time. So, again for us managing our business, we think this is a very interesting way to go and again, Enumeral is a wonderful example. We probably would have had to do two or three private rounds to raise anywhere near the same money with venture investors that would have squeezed a lot more from us, diluted our ownership much more dramatically, and anyone of those could have been risk for failure and instead we now have the financing for that company to execute and so you can get one risk out of it. So, again it is a far more complicated question. We spent a lot of time thinking about this. The other thing is we have a competitive advantage here. So, the interesting thing is why don’t the bigger companies that we are in with big brand names do this. Because many of them have to distribute their return at IPO. So the IPO has to be the coming out party, it has to be the debutant ball, it has to be the point where anybody smart would be selling share not investing in those companies. But we are not, we recycle our capital, we can hold on to these companies, we can grow with them, we can recycle back some money to make long-term investments, we can use the benefit of our evergreen structure and we think that is highly beneficial. And then the last point is we think it also creates an interesting opportunity for our shareholders. Some of our shareholders might like to be in some of these deals and because we have enough control, because we enough ability to sort of chart that path, we may be able to provide opportunities to investors that we haven’t had the opportunity to do historically.
Al Shams - American Capital Partners: Okay.
Douglas W. Jamison: And the other thing…
Al Shams - American Capital Partners: Thank you so much Doug and let somebody else ask the question.
Douglas W. Jamison: Thank you, Al.
Operator: Thank you. Our next question comes from the line of Robert Littlehale of J.P. Morgan. Your line is open. Please go ahead.
Robert Littlehale - J.P. Morgan: Good morning. Is the venture debt strategy still an active one?
Douglas W. Jamison: Bob, good morning. No we are not doing venture debt at the moment. I think to be bluntly honest with you we as management still like that strategy. It's worked out as you CleanWell paid off and actually in the third quarter of this year, it was a very nice venture debt return for us. I think what we did -- and it is also I would say it's synergistic with what we do as well. I think what we looked at and we said for the amount of capital we currently have and where the opportunities are in the market we thought we would be better off focused on the equity deals and you saw us move to more of the early stage greater ownership than that. I think in the future as we become better capitalized one might look for us to do some venture debt again. But at this point in time we are not doing much in that space. I would also say that as we looked out even in our own companies the venture debt space after we entered it, as we were getting out of it has become very competitive. So if you follow the competition and the BBC mezzanine debt markets and the venture debt markets has become very competitive. And so I actually think where as the last decade was a really good decade to do venture debt I think the next decade is going to be a really good decade to build early stage equity companies. And just to give you an example of that we have two or three of our portfolio companies, we know well there are portfolio companies, they were getting ventured debt at 6%, sub 6% interest rates, right. That's crazy, right. You know we were looking to lend it at 10% to 12% and get some warrant. We are not going to compete at 6%. These companies are very early stage, they are ill equipped and money is still going in and so I think that, that really speaks to some of the competition. We saw that, we sort of scratched our head and we said we don’t want to provide venture debt but we will go get some venture debt from these groups at that rate.
Robert Littlehale - J.P. Morgan: Thank you.
Douglas W. Jamison: Thanks Bob.
Operator: (Operator Instructions). Our next question comes from the line of Brandon Goyette of Delta Investment. Your line is open. Please go ahead.
Brandon Goyette - Delta Investment: Thank you. Happened to notice yesterday at Reuters there was an article that mentioned Nanosys CEO speaking to the fact that IPO is next on their to do list and I didn’t know if you could actually speak to that and also would seem to make sense with the -- I guess the information or rumors out there that the QDEF is going to be used by the new Apple iPhone 6 along potentially with some of the other Apple products and some of the Samsung product line. It seems that, that would be a great period to do a road show for Nanosys.
Douglas W. Jamison: I will tell you, the management of Nanosys now is, I think it's a great management right. I mean clearly they have taken a technology that languished for many years to find a market and they produced a real winning technology, got it in the marketplace, and their revenues at least last year expanded rapidly as the Amazon Kindle HDX came. The other thing I would say about management is they better than some and better than most of the VCs we worked with recently they get it, which is you know the time to be out there telling your story is at the beginning of this news coming through and when the growth is there, so you can pass on the baton and others can make money and others can do things as well. So, we have great respect for Nanosys's management team. I can't -- I mean it's comes back to Metablon, we just are not able and unwilling to speak on some of the rumors. You know Seeking Alpha does a very good job of keeping up with a lot of happening out there, my experience has been some of its very true and some of it is nothing more than rumors and we tend not to comment on that at all. What we said publicly is yes, we expect there to be multiple companies over the next 12 months that seek liquidity from our portfolio. So clearly from what we see there are opportunities out there to do that, but we haven't spoken to exactly what firms those are. And again I would say for Nanosys, great -- it's an exciting time for them now, like any electronics company or anybody putting a new material on the electronic companies, there are highs and lows. It commoditizes and works very rapidly, much more rapidly than the life science which is why we have gotten out of a lot of these electronics investments.  So I think that the introduction of QDEF Films is excellent. I think that they are still running to keep up with what's happening in the industry but at least at this point in time, it looks promising for Nanosys. So we are continuing to watch and we think there is a good opportunity in front of them, to do that. But I can't comment on, I can comment that they have said publicly that, when the time is right and with the penetration in the marketplace and the validation of marketplace provides that yes, they would think of going public. I don't think they have provided an exact timing for that yet.
Brandon Goyette - Delta Investment: Okay, thank you.
Operator: Thank you. Our next question comes from the line of Zach Liggett of Financial & Investment Group. Your line is open. Please go ahead.
Zach Liggett - Financial & Investment Group: Hi, good morning guys thanks for doing the call. I just had a couple of questions boy, I am glad to hear that you are still working on third party capital front, and I think it is important to hopefully really leverage this interesting platform you have. My question though I guess, in the near term is with your cash and the kind of visibility you have on deploying the cash and I guess how much of that cash you really just intent to hold on to kind of fund expenses for the company over the next year or two, so I guess that's my first question is just to how you see the deployment of cash I guess between new deals, the follow-on's, and just keeping the expenses paid at the company?
Douglas W. Jamison: So, I will address the first question, I think it's interesting we as management I think the Board look at cash and we would always like to have a lot more cash on our balance sheet. From what we know of the venture investment climate and just the length of time it takes to get exit and liquidity and when is the right time to sell, you never want to be in a position of weakness. We know a lot of our shareholders and the questions come in, there is a frustration that we don't deploy it fast enough and I think again we invest in private and liquid companies and therefore one needs to keep it on their balance sheet. How do we see it? So first of all, a lot of companies are companies that are maturing. So I think you are going to see over the next period of time less money being required to go into these and follow-on's. Right, I think also with our strategy you are seeing and Enumeral is a great example, but if Enumeral stay private, we are probably going to be investors of perhaps another $4 million or $5 million of our own capital, private capital into that deal. Instead we were able to invest $1.5 million of a $21.5 million financing, retain 15% ownership, so we are the largest investor in Enumeral but really probably have far less capital requirements for the future in that company. So when I think our follow-on's are actually decreasing overtime rather than increasing and the only place that would be different is, some of the newer deals we are doing. We tend to be doing smaller deals that have less capital out at the riskiest stage of that investment but they will require follow-on's, as they grow. So you know the deals you are seeing you will see us reserve follow-on investments for that. I think from our perspective, where we struggle and where we would like to do things to end this struggle is there are still wonderful opportunities out there in our existing mature portfolio companies that we think we can drive some of these to liquidity. And I think Molecular Imprints is a great example. The VCs were out of capital, Molecular Imprints really couldn't raise no financial venture capital back in 2011. We had -- they needed a small amount of capital around the tsunami in Japan. We were able to provide a good portion of that with a very nice return profile and ended up being the only group to make money in Molecular Imprints and turn that into potentially from a losing investment return into a winning one over that period of time. We have done something similar in a company Adesto in our portfolio. There are other opportunities out there, where we need the capital but we think, we could increase our returns by being involved in that or perhaps even have more control to drive the company to a liquidity or an exit at the right time. So I think that you may see us take those opportunities of using that capital as well. But I think that sitting here today what I would say is I think you will see us spend that capital and follow-on investments in new investments. We think it's a wonderful time and I think if anything we wish that we were having greater liquidity or greater access to capital currently because we think we could use it to improve our returns and we continue to take a look at that.
Zach Liggett - Financial & Investment Group: Okay, great. And the only other question I had was you had mentioned that I think shrinking down, your team is already pretty small but you are looking at maybe cutting down the tenure at the turn of the year, can you quantify, I guess one quantify what that means for expenses going forward and two, what kind of functionality are you losing by doing that given you already are a pretty small team?
Douglas W. Jamison: Yeah, so I think what you are going to see us do is you are going to see us -- I think what Harris & Harris Group looks like in the future is different than what it looks like today. So it was built like a traditional venture capital firm, Managing Director, people coming in are associates, senior associates doing deals or anything like that and yet I mean our team does an unbelievable job being accelerated filer public company and doing all that with a very, very small group of people. I think what you are going to see us is position strategically to take advantage of some of the things we see in the marketplace going forward. And that may mean looking less like the traditional venture capital firm with Managing Directors and deal team people and bringing in some other skill set over time. And I think what you have seen this positioning do is really just sort of set the table to be able to do that. So no Managing Directors will be leaving, we have four Managing Directors and Managing Directors are here. I talked about Sandra before hand, I think it's a wonderful opportunity for Sandra. We will still utilize Sandra instead of her just having in house knowledge, now we get the benefits of all the knowledge of what other BDC's and other groups are doing from our General Counsel as well. Patty Egan who is our CFO is our CCO she is a super star and certainly wears both hats very well. So, I think we are going to save, when I looked 2015 I think our goal would be with some of these changes that we can save upwards of $500,000 in expenses. But I think of this less as we are cutting the cut expenses to we are sort of getting ourselves set in position to grow in the way that we think is going to be fruitful for the future of the firm. We have the investment team here that we need and the other gentlemen in our team, Ian is -- he is a great individual, he spends time here, he is actually moving on to spend more time with one of our own portfolio companies ProMuc, so again we get the benefits of that. So I think that Harris & Harris Group has always been a very good company that people wanted to work for, we don't lose many people and when we do things like this, we actually -- we end up using those great talent. So, Ian is working with ProMuc, Sandra we still have access to, there is one other change that will be made at the end of the year. But we don't think it will really have an impact on how we manage the firm.
Zach Liggett – Financial & Investment Group: Perfect, appreciate the color guys, thank you.
Douglas W. Jamison: Thanks.
Operator: Thank you. And this does conclude our question and answer period. I would now like to turn the conference back over to Mr. Doug Jamison for any closing remarks.
Douglas W. Jamison: Well, thank you very much. I got to say wonderful to have the set of questions we had today. I have been wondering over time whether we are just speaking to ourselves out there. So great set of questions, great to have everyone involved on it. As I always say, if you have questions we try to be responsive. We travel a lot, we are doing a lot of work with the portfolio companies but clearly within 3 to 4 days, one of the senior members of the team is able to get back in touch with you. We continue to write and provide our thoughts for doing more and more on thought leadership positions from the blog plus I encourage you to read and follow those. Thank you for your support of Harris & Harris Group. We believe that Harris & Harris Group of the future is going to look different than it has in the past decade. Some of these changes have already been put in place over the past couple of years, more are coming. Enjoy the final weeks of summer and good bye.
Operator: Ladies and gentlemen thank you for your participation in today's conference. This does conclude the program and you may all disconnect. Have a great rest of your day.